Richard Dierker: Okay. I think we're ready to get started. So thank you for coming out today, especially in a cold, blistery New York City day. I really appreciate it. I want to walk you through a quick 170 slides and the management team is going to come up and talk as well. But we're just a ecstatic to be here, and we finished the year with momentum, in 2026, the future looks bright. So just as a reminder, we have a safe harbor statement. We're going to make forward-looking statements today. So please check this out on our website. So who's going to be presenting. I'm going to start and end the presentation. Lee is going to come up and talk about our financials and our outlook. And then Chuck will talk about our brands and the categories; Andrea is here, Founder of Touchland. She's going to talk about that business and how excited we are about it. Carlos is innovation. Surabhi is all things digital, and then Mike Read will talk about international and SPD. I'll also go through some of the growth initiatives today as well. I'll just walk through the agenda. I already told you welcome. So let's look back at 2025. We grew faster than all of our categories across all 3 divisions. That is quite the accomplishment in a tough and rugged 2025. 4 of our 8 power brands grew share. 4 of 7 if you exclude Vitamins. Hero and TheraBreath are growing double digits. Strong innovation and marketing spend supports these brands and growth. And then we acquired Touchland this year. Tariff response and mitigation. These 3 bullets are really important to me. I would say our tariff mitigation and response wasn't just industry-leading, I would say it's just leading. I was super impressed with how the company reacted to that. Portfolio. Portfolio changes were executed. We divested Spinbrush and Vitamins. We shut down Flawless and Showerheads. There is a lot of momentum because of the portfolio changes we were able to make in 2025. So we also have a strong balance sheet, 1.5x levered. You know this, right? Our long-term investors know this. We have been able to acquire businesses. We have the ability to identify, acquire, integrate and grow brands and the future is bright for that as well. Joe, can you just let them know they switched the prompter up here. It doesn't have anything on it anymore. It's fine. But -- this is one of the most important things to understand about the business portfolio. In 2025, our brands grew about 1% consumption. If you strip out all the businesses and portfolio changes we made, it would have grown 3.5%. What a great resilient portfolio to have the wind at our back for 2026 and beyond. Lee will talk about the Evergreen model in detail. I will tell you that Evergreen model is alive and well. You saw how we had those brackets in our outlook today for 2026. There's a lot that goes into this, but this is the output. We have to make sure we have innovation and brands consumers love. We have to make sure we have productivity programs, the right advertising. All those things are the inputs. And we have a strong track record of TSR. If you look back at 3, 5, 10 years, we're always near the top. 2025, we went backwards and we're off to a great start in 2026. What's our winning formula? We have a balanced and diversified portfolio. We have low private label exposure. This is going to be my new favorite slide. You're going to see the updated one in a few minutes. We have online success and strong, consistent category-leading innovation. Half of our growth to fleet comes from innovation. And again, we're an acquisitive company. We know how to identify, acquire, integrate and grow brands. Church & Dwight is about a $6.2 billion company, 77% domestic, 18% international and 5% SPD. 7 brands make up 75% of our sales and profits. And we have a balanced and diversified portfolio. About half of our portfolio is personal care, the other half is household. 64% premium, 36% value. low private label exposure. So for many years, we've been showing this slide that weighted average exposure to private label across all of our brands, across all of our categories is around 12%. And it's been very consistent 12% year after year after year. And why is that? We don't have private label exposure, for example, in laundry. But look what the portfolio reshaping did to that stat. We're down to 5%, right? Vitamins was an extremely large private label business. So we went from 12% to 5% because of portfolio reshaping. Online success, all things digital. We went from laggard to leader, 2% to 24%. Surabhi and her team are doing a fantastic job.  Strong and consistent category-leading innovation. About -- again, half of our growth is typically tied to new products. We measure this maniacally, incremental net sales growth, not gross sales, stand-alone but incremental net sales growth. And this drives our brands. It creates value for the consumer. Acquisitive company, #1 or #2 share brand is one of the first things that we always want to make sure when we buy a brand or a business. Number two, high growth and high margin, fast moving consumable, that's what we're focused on. Asset-light, leverage our manufacturing skill set and then deliver a sustainable competitive advantage. And we're as excited today about acquisitions, both in the U.S. and probably also internationally, right? I think that's the nuance. It's always been the U.S. It's an and. Now we're talking about international as well. And why is that? Like this company has been transformed through acquisition, and I'll show you in a few minutes. We have a slide, $6 billion, $2 billion is really the ARM & HAMMER brand, $4 billion is from the brands we've built and bought over the many years. And that tranche started back in 2004. We go from $1.5 billion to almost $3 billion. And then you go from $3 billion to $5 billion. And now we're about $5.5 billion go into what? We're $6.2 billion this year, and we think that's going to continue to grow through acquisitions. Okay. So here's the new news. We haven't talked about this before. I think the reality in the world that we live in is categories have decelerated, right? Our categories have grown for a decade or longer at 3%. And if you look back at 2024, it was closer to 4%. And then in 2025, the first half grew 2%, the second half grew 1.3% and the full year grew 1.8%. That was not just us, that was everybody. Many categories were doing the same thing. Bad things happen and you have people to react to it. Consumer sentiment is weak, right, 5-year lows on consumer confidence. So we have to be able to control our own future. And so what are we doing about it? We're focused on these 3 aspects of growth internally to help drive results in the future. So that if categories slow, we can still hit our Evergreen model. If categories don't slow, we can do even better. So grow ARM & HAMMER from $2 billion to $3 billion. There's 3 or 4 pillars behind that. Number one is continue to do what we've been doing, grow the core, ARM & HAMMER laundry, ARM & HAMMER litter. Good, better, best. We can round out our portfolio for good, better, best across the ARM & HAMMER sub-brands. In-house licensing. We're going to consider that more of an incubator, and I'll talk through that in a few minutes. And then new categories. So we're going to launch a couple of new categories this year. But over the next few years, you're going to see a handful of other categories. And those are going to be fewer, bigger, better. We're not going to go everywhere to every one. That's not the strategy, is to make sure that we're in the right category where ARM & HAMMER can play and win. Drive oral care expansion through TheraBreath, really behind TheraBreath from $1 billion to $1.5 billion. And then to scale our international business. We've been doing a great job doing that for many years, and now it's a little bit double down on M&A. We have the scale. We have the infrastructure to do it. So that would go from $1 billion to $2 billion over time. Here's the slide that we've shown before. This is the makeup of the $6.2 billion over time, $4 billion is really from acquisitions. But I'm going to talk about it in the inverse for a second. It means that we've gone for ARM & HAMMER from $1 billion to $2 billion over the last 25 years. Our aspiration is to go from $2 billion to $3 billion a heck of a lot faster than that. And again, this is the core, grow the core. Look at the stair step up over time for liquid laundry and for clumping cat litter. We have a great brand. It's the innovation behind laundry, the marketing behind laundry. We're hitting the consumer right where they are. And year after year, we continue to gain share. What are some reasons to believe in the ARM & HAMMER strategy? Well, number one, we've proven over time that we can go into other categories. And it's not 1846 anymore, but baking soda was founded back in 1846 with Church & Dwight. Laundry was in 1970. Toothpaste was in 1980s. Deodorant and cat litter were in the 1990s. We know we can do this. We've been in large categories before. Our equity is fantastic. Our brand stacks up with other brands like Nike and McDonald's in terms of awareness. And then the last one, which I believe is a competitive advantage is the ARM & HAMMER brand has a halo effect on advertising. If we advertise cat litter, baking soda and laundry benefit. If we advertise laundry, ARM & HAMMER toothpaste benefits. That's a unique position and capability that we have. ARM & HAMMER is known for cleaning, deodorization, cooking, laundry, the list goes on. It's a premium in some categories, it's a value in others. It's personal care in some categories, it's household in others. There's very few brands. I can't name one that has the ability to do that. It's also uniquely extendable. It's in more aisles of the grocery store than almost any other brand through either our owned brands or licensees. There's over 100 uses of baking soda. It's used everywhere. It's in the laundry room, of course, it's in the kitchen. It's in the bathroom. It's everywhere. So there we go. So grow the core we talked about. Good, better, best. Again, there are subsegments within the ARM & HAMMER portfolio that can get rounded out. We've proven time and time again that we're good at ARM & HAMMER doing good, better, best. I'm going to show you those 2 examples. I'm not going to go through them today, but there are new categories that are ripe for ARM & HAMMER. And then number four is the in-house licensed brand concept to be an incubator, to be able to say, here are some categories that we may want to go into. How do we explore that? How do we get a business up to $10 million or $20 million or $30 million. And then when it makes sense, to actually buy that back and be able to scale it like we normally do. So here are the 2 examples that I would tell you are just textbook for good, better, best. First one is litter. Orange box is good, black box is better and then HardBall is best. And HardBall is known for the best, we're trying to make that the best lightweight litter. We think that might be the best litter period, full stop. We also have laundry, good, which is the ARM & HAMMER model, better, which is ARM & HAMMER plus Oxi and then the best, which is deep clean. We have almost $1 billion of licensing and retail sales out there with partners. There are many categories in which ARM & HAMMER has already proven that can play in. And once we decide that we think that we can be a better owner at some point in time with the right partner, then we believe we can scale it and take it to the next chapter of growth, like we did for Hero and TheraBreath. Okay. Next pillar of growth is really oral care. Now as we grow, we want to make sure we're focused on the right large categories. And mouthwash and toothpaste are huge categories. On the far right, $2.4 billion and $4.8 billion. We would much rather have a share point in toothpaste and even in dry shampoo as an example. So we're laser-focused on mouthwash and toothpaste. And what's uniquely different about us is TheraBreath gives us a great entry point for oral care now, right? ARM & HAMMER is always to a select subset of the market because of the taste profile and for baking soda, but TheraBreath can reach and penetrate a lot more households. Speaking of penetration, TheraBreath is 12% household penetration. Mouthwash is 65%. Chuck is going to go through more details, but we have a lot of room to still run. We have aspirations to be the #1 mouthwash. Number 2 is toothpaste, huge category, almost $4 billion. We have been playing in toothpaste for quite some time. And collectively, we're a small player, if you add up all of our brands. We think TheraBreath has a unique right to win. We think there's a loyal following for TheraBreath. It hits on best-in-class performance. It's better for you. It has superior flavor. So all those things come together to make this a great chance for TheraBreath to become a meaningful brand in toothpaste. Last but not least is International growth. And Mike will walk you through the reasons to believe as well. But we have a long track record of organic growth. This has been a fantastic story for Church & Dwight and for International. And there's a lot of room to run. We're underpenetrated, our company versus most other multinationals. And we've done a fantastic job taking businesses even faster than our history, I would say, and applying those distribution gains. So Hero, TheraBreath, Touchland, they have all expanded rapidly, and a large part of that is because of international. And so today, I'm just saying we're doubling down M&A within our international business. It doesn't mean we're doubling down less in the U.S. It's just an and, not an or. But we want to acquire brands because we already have a great footprint or we want to shortcut like we did with Graphico in Japan, right? We added our OxiClean distributor, and now we can start to add some of the brands that we have into that infrastructure. All right. With that, I will ask Lee to come up and talk about the financials.
Lee McChesney: Thank you. All right. Good afternoon. For those of you who haven't met, I'm Lee McChesney. I have the privilege of being the CFO for Church & Dwight. And with that, we probably to dive into some numbers. So we'll do that quickly. So we obviously, this morning released our 4Q and '25 results, came in at 3.9% total sales, a bit higher than our outlook. Certainly, Touchland was a big driver of that performance. Organic was 0.7%, a little bit lighter than our outlook, but that was really driven by the VMS business, they now exit the VMS business and then just the category itself was a little bit lighter. I try to give you also this perspective in the release as well. You take out the VMS business in the fourth quarter, organic sales were 1.8%. So some nice momentum as you started thinking about '26. We had another great quarter with gross margin, 90 basis points higher than last year. higher than our outlook. Really great work from the team across the globe to bring this to life. First half of the year, gross margin was going back for 50 basis points in the back -- in the first -- back half, it was up 50 basis points. So some really good momentum there. So that favorability in the sales, favorability in gross margin rate, we put more into marketing, and then really helpful for the brand today, but also as you think about '26. Ultimately, that led to an EPS of $0.86 higher than our outlook and up 12% over the prior year. So overall, a really nice quarter. And obviously, if we pivot to the full year, that all flows through. Again, you see the overall total sales of 1.6%.  And then again, organic for the year was 0.7%, but when you adjust out VMS, it was 2% organic growth. So again, that's kind of the entry point as we go into '26. I mentioned, obviously, the progress on gross margin and we continue to invest in SG&A. The other element is cash flow. We had a great cash flow year. We upped our outlook throughout the year, and we actually exceeded that in final form at $1.2 billion. So really just a ton of strength again, on the sales side, gross margin, EPS and cash flow, all higher than when we put out our outlook on Halloween early in '25. So that's the numbers. But I also wanted to just reflect a little bit on what we did beyond the numbers. And because it also is a good starting point when you start thinking about '26. So once again, we continue to have the strength of brands to grow 4 of our 8 brands. We changed the portfolio. And hopefully, you saw in the release some of that insight. But moving away from those 4 brands, we now have a portfolio that has the ability to grow at a faster rate, has a higher gross margin rate. I mean those are all going to be -- you see those in the outlook -- walk through '26 in a second here. We had another year of incredible productivity, record levels of good to great productivity. And then we faced into tariffs early on. So liberation Day in early April. And by the end of April, we told you what our plans were. So $190 million of tariff exposure that we've now moved down to $25 million and continuing to decline from there. It's -- you see it in the outlook for '26 here, and we get through a second. And then the cash flow I talked about, we had great cash flow. But this year, we bought Touchland, we returned $900 million to our shareholders. And we still have the same debt-to-EBITDA ratio. So we have tons of optionality as we move here into '26. So I have an observation since March. And I just think this is really our culture coming to life. Things come at us. We quickly assemble the facts, we come up with actions and we execute. And we all did this in '25. And again, all this momentum carries us into '26. And certainly, I think you'll see that when we go through the outlook. With that said, let's run to '26. So you know Church & Dwight, you know our Evergreen model. This is the foundation. This is what's running through the organization. When we get together, when you think about the plan, people know what's expected of them. So you're going to see this certainly coming to life as we walk through the outlook. So again, this morning, we put out a release, 3% to 4% organic growth range for the year. Reported sales will be down negative 1.5% to 0.5%. That's solely the business exits. I'll walk you through that in more in a second here. Gross margin improvement of about 100 basis points, continue to invest in marketing at 11%. And ultimately, that's an EPS outlook of 5% to 8% for '26. And then again, we expect to have another strong year with cash flow, $1.15 billion. So I know you're going to ask a lot of questions later, but I'm trying to get some of those out of the way here with some of the tailwinds and then the headwinds as well. So I think you're going to see on display from really everyone presenting today, a lot of the reasons behind this. Again, the brands are still performing well. You're going to see a ton of innovation from us. I mentioned the portfolio change. Again, this is helping us on the organic growth, it's helping on gross margin. We get to reallocate our focus as a leadership team to use faster-growing value brands and premium brands that we have in our portfolio. I mentioned Touchland. Touchland is 2 quarters now, really strong results. You're going to hear more about where Touchland's going in the future today. And then as Rick just mentioned, we have the growth initiatives. So again, it's an extension of already what we have going on in the portfolio driving us here. And then I make the comment here that in 2025, if you look at almost every metric it got better year-over-year in the second half than the first half. And that's our entry point as we go into the year here. So sure, the categories, we're not expecting them to transform. We're still expecting kind of 2% category growth. There's going to be inflation, but also behind that outlook is we do have these exited businesses. It's $400 million of sales that have come out of the portfolio. We've worked through the stranded costs. That's all covered in the outlook for '26. So let's go from there, just walk through a couple of extra details here. So again, organic growth, the Evergreen model calls for 4%. Our range is 3% to 4%. We have a 10-year history of 4.1%. I mentioned the reported sales. I just want to give some color here. So again, $6.2 billion of sales in 2025. Our outlook refers to $6.1 billion to $6.2 billion. You have the $400 million coming out from the exited businesses. And then with Touchland and the core businesses growing, we almost fully mitigate that on a reported sales basis. But obviously, underneath that is the organic growth of 3% to 4%. And I'd also note in our outlook just the importance of volume. So our organic growth is driven on volume growth. It's not driven on price, it's driven on winning at a unit level with the brand. That's what we've been doing historically, and that's obviously the foundation also of what we're planning to do here in '26. It's a volume-driven organic growth outlook. So I mentioned gross margin. I don't think we typically show 100 basis points of improvement in gross margin. The Evergreen model is 25 to 50 basis points. And so let me walk you through some of the drivers to that. So on this page here, you really see what we try to bring to life every day. So whether it's good to great productivity, supply chain optimization, whether it's bringing NPD to life, that's obviously good for growth. That's typically also good as a mix element. And then we buy acquisitions that are higher gross margin levels and then we expand them. It gives us positive mix. Those are usually the elements that drive the 25 to 50 basis points. We're looking for an Evergreen. And then as I mentioned, the portfolio change is also enabling us to go from that 25 to 50 up to 100 here in '26. And hey, there is inflation, I call it's 160 basis points. But all those actions I just talked to you through are offsetting that. So sure, we have natural gas is up, ethylene, things like that. We're going to have a normal batch of labor inflation. We have some capacity improvements. We're covering that. That's what we do with our good to great productivity and all those other amounts we drive normally in the Evergreen model, okay? Talked about marketing. This has been 11% is called out in the Evergreen model. That's what we're looking at again here in '26. And this has been an important formula. We invest in the brands. And when we have opportunities like we just did in the fourth quarter, we'll even invest more here to support the brands. Just to note, marketing will be based on this outlook, a few basis points lower than it was in '25 because the Vitamin business had a higher marketing rate than the core portfolio. SG&A, I mentioned earlier, is going to be a bit higher. Really just a couple of drivers there. Certainly, we have a half a year of Touchland's SG&A and there's amortization. So that will be a pressure point in the first half of the year. And then we don't have the same leverage of the portfolio because we have the business exits and then we have a bit of stranded costs. But again, that's all factored into the outlook. We're still continuing to invest in the international business in e-commerce. And then those growth initiatives we just talked about, that's all still going on within SG&A. So all that, again, brings an outlook of 5% to 8% in EPS. The Evergreen model is 8%. So certainly, that's within the range here. Today, obviously, we're talking to you thinking about that as a midpoint perspective, but you obviously have a 10-year history of what we've done there. We'll certainly focus on bringing that to life. Now we noted also in the release, it's a bit of a first half, second half. So the second half is a little bit higher. But just to give you a color there, I mean, the growth perspective for the year is similar. The gross margin improvement is similar to the year. But again, you do have that Touchland SG&A and amortization in the first half of the year. And then when we look at our marketing programs, they're more heavily weighted to the first half than the second half. And that's solely the driver and the difference. So I think Rick said last time, when he was a CFO, this is his favorite chart. I think as CEO, it's still his favorite chart. And when you look at the free cash flow conversion, right? I mentioned, obviously, the cash from operations, but 127% in '25. This gives us so much optionality as we look to invest in the business here. That obviously shows up in the debt-to-EBITDA ratio Again, we did Touchland. We did the share buybacks and we basically have the same level of debt-to-EBITDA. So all that firepower we had in the past is still there for us. And that certainly shows up here. It's over $5 billion. I think this is almost the exact same chart as last year despite all those things we did with the portfolio, how we've added to it and how we've returned dollars to the shareholders. This speaks to the cash flow capability of the organization. So what do we use the cash flow for? This chart hasn't changed. We've seen it in the past. Number one, TSR-accretive M&A. So the Touchlands, the TheraBreaths, the Heroes, finding the next version of that domestically or internationally and bringing that to life. That's the #1 goal. That's certainly what we're out in the marketplace to do. And again, we have all that capability financially and organizationally to add to the portfolio today. Next up is certainly CapEx for organic growth and productivity. Number 3 is NPD. Number 4 is debt reduction. But at this point, we paid down all our variable debt. So this is just -- we're just sitting at the fixed that we have today, and then returning cash to shareholders. And on that note, we also announced today that we have a 4.2% dividend increase from the Board in '26, our 125th consecutive year of paying dividends and our 30th year in a row now of increasing our dividend. Again, another great example of the cash flow coming to life. So what should come through here for '26 and what you're going to hear from the rest of the team today is our confidence in the outlook we put out there. So whether it's the strength of the brands you're going to hear about in a second from Chuck, the innovation from Carlos. You're going to hear from Andrea on Touchland. You're going to hear from Surabhi on what we're doing in e-commerce and how that continues to be a great story. You're going to hear from Mike on the international business and now even more focus under our growth initiatives there. And then that cash flow giving us so much ability to invest in acquisitions or organically in the business. So with that said, I'll move away from the numbers and then let the team walk you through some of the stories behind that. So I'm going to pass you on to Chuck.
Charles Raup: So as Rick and Lee have talked about, we have great optimism in our future and our ability to grow. And as we look at the U.S. business, we're targeting a strong 3% growth rate. And that's going to put us in a great position to continue to win share in the categories that we compete. And this growth is going to be driven by our 7 power brands. And the great thing about these power brands is they compete in categories that have been resilient and traditionally deliver growth. And in fact, when we look at 2025, 7 of the 8 categories that we competed delivered growth, a little bit under 2%. And that's despite a suppressed consumer environment. And as we take a look at share, we grew share in about half of the categories that we compete, so 4 of 8. And the drive going forward, of course, is to accelerate the momentum in categories where we're strong. And in categories where we fell a little bit short, we have powerful plans to return to share growth. So let's take a look at some of these power categories. First, laundry detergent. We had a great year in laundry detergent. We outpaced the category by 1%, growing about 20 bps a share. Now why is that? Well, a big reason is the performance of the value sector. So if we look at the value sector, that's what's winning and that's what's growing share of the category. And importantly, this is where ARM & HAMMER thrives. We delivered that great performance and a great value at accessible price points. And in fact, when we look at 2025, we won a record share of 14.5%. That is in an environment where competition is increasing and promotional levels are up. And I'm very proud to say that we are now -- that the ARM & HAMMER brand is now #1 in wash loads. So what are the implications for moving forward? Well, we're going to embrace what's special about ARM & HAMMER. And that really is delivering that great performance at these accessible price points. And the way that we're going to do this is by embracing and driving forward on our good, better, best strategy. So in that good tier offering that good basic ARM & HAMMER clean. And then as we move up price tiers, adding value like things like OxiClean and odor blasters and greater cleaning efficacy with problems with products like Deep Clean in our best tier. Now moving along to another ARM & HAMMER power brand, cat litter. And we had a strong year in cat litter as well. We grew 20 basis points of share, and we also outpaced the category by about 1%. And we have room to grow in cat litter, especially in the lightweight segment. So if we look at the lightweight segment, we're only at an 8.5% share. But we're a 27% share in traditional weight. And that's where a product like our HardBall SKU comes into play. This is a product that is our best performing. It's in that best tier for us. And it averaged -- and has a 48% repeat rate, which is 14 points higher than the category average. So we have high confidence that this product can drive growth and continue share momentum. Now as Rick pointed out, we don't just play in laundry detergent and litter. We play across multiple categories that can -- that really cover a number of consumer benefits. And so as we drive forward, we're going to expand on this strength as we move from $2 billion to $3 billion for ARM & HAMMER. And as we do that, what we need to do is we need to evolve the relationship that we have with our consumers, and we're evolving our consumer communication. So I'm going to share with you guys the update that we're doing to our ARM & HAMMER campaign. And the idea behind this campaign is that we're not just bringing the HAMMER, ARM & HAMMER is bringing the whole darn arm. And what that really means to our consumers is no matter what they're facing during their day, as long as they're with ARM & HAMMER, they've got this. [Presentation]
Charles Raup: Now a little bit of my background. I came from Hershey. And I can tell you, you can't do all that with a peanut butter cup. And so it's just this incredible brand, and we have great optimism that we can drive it forward and meet new consumer needs and occasions. And we're very happy with the performance of this campaign. So we saw share gains across the categories that we are playing, and we saw important movement in consumer metrics. So consideration and purchase interest also went up double digits when we showed this campaign. Now moving on to another brand that has tremendous upside for growth and that's TheraBreath. And TheraBreath didn't just outpace the category, it actually drove category growth. And TheraBreath is now the #2 mouthwash and we clearly have aspirations to be the #1 mouthwash, and we attained a record share of just a little under 22%. And there's room to run in our rinse business. So as Rick mentioned, we're about 1/5 of what the category penetration is. So there's tremendous headroom there. Additionally, there's upside in building our on-shelf presence. And so if you look at TheraBreath's share and then you compare it to what we have on shelf, we want to continue to drive our TDP growth because competitors are having 1.5 to almost 2x what we have on shelf. So a focus on distribution growth is going to be key as we move forward. And then paste. We're very excited about our paste launch. Now why is that? Well, it's a $4 billion category, and it's the third largest category in which we play. Additionally, we know that consumers will spend more on premium oral care products even in a suppressed environment. Additionally, we had the great brand momentum that I talked about, that double-digit growth. And when we talk to TheraBreath consumers, it's pretty amazing. A little under 90% said they're interested in buying this product. And we have an outstanding proposition. So first, what it really lets us do strategically is expand further into our consumers' oral care routine, which is a big deal. We have 8 clinical studies that confirm the efficacy of this product, and it really delivers on the TheraBreath brand. And so what I'm going to do now is I'm going to share the launch advertising that really captures the essence of TheraBreath, which is great tasting products that deliver epic long-lasting fresh breath. [Presentation]
Charles Raup: Okay. I think you'd be hard-pressed to find a consumer that's more excited to brush their teeth. Moving on to another brand that really has high growth potential, and that's Hero, our acne brand. In 2025, Hero grew at about 3x the rate of the category. And Hero is not only the #1 patch brand, it's the #1 acne brand, and we attained a record share in 2025 at 19%. And much like the TheraBreath, Hero has a ton of room to run. So if you look at our penetration, we're about 1/3 of the category. And again, we're the #1 in share. So tremendous headroom. And from a shelf perspective, it's the similar dynamic to TheraBreath. When we look at our share in our performance, we see that other competitors have 2x the average weekly TDPs. So we'll continue to focus on realizing that upside for Hero. And what gives us even more confidence in how Hero can grow is we're not just a patch brand, right? What we're going to be about is really owning the acne life cycle, which opens up a tremendous number of occasions. And so if you take a look at where we play, first, in that pre phase in preventing acne or when it just starts to develop, we've got our cleansers launch, which is going to be a huge launch for us in the back half of this year. Then as we move on, when you start having that first red bump, we have things like our MicroPoint that helps address that phase. When we move on to, as we say, the full on it, we have Mighty Patch original, and that really does a great job in getting it cleared up quick. And then there's always the aftermath from having the pimple. And so cleaning up dark spots and things like that. So as you look at it, it really is a tremendous opportunity to meet consumer occasions. Additionally, it opens doors for innovation, right? And so there's different ways that we can meet consumer needs across the span and Carlos Linares is going to talk a bit about some of the innovation that we have planned for Hero. Moving to BATISTE. So BATISTE, to be clear, didn't have the year that we wanted in 2025, declined about 2.5 share points. But what I want to emphasize is it's still a leading brand. It's #1 in category share, and it's #1 in loyalty. And as we added some support to BATISTE in the back half, we did see some results and some return of some momentum. And so dollars flattened out from more steep declines in the front half, and we started to grow share, which is very important. And as we take a look at what we intend to do to support and accelerate this momentum, there's really 3 areas that we're focused on in 2026. First, stronger, more consumer-relevant innovation. And so products like powders that fulfill a category need for non-aerosol products, fragrance-free, which we know there is a segment that's very interested in these products, a renovation of our colors line for better performance. And then we'll also be delivering custom items that drive interest among our key retailers. Additionally, we're going to be leveraging our price pack architecture to deliver against new occasions, right? And so we have things like our mini travel size, which moves us into a more of an on-the-go occasion. And then there's also a jumbo SKU that will be coming out that meets a more heavy user need. All of this will be encompassed with the brand recharge, right? And so we're going to be looking at really revitalizing the brand. And you'll see this in consumer communications, and you'll see it in store and you'll see it on pack. Now as Rick has talked about, we really have evolved our portfolio, and we are seeing that we're playing more and more on this intersection of personal care and beauty. And as we evolve our portfolio, we also have to evolve the way we're structured and the way we're working. So I'll share an example of this. And so what we've created to accelerate brands like Hero and BATISTE and Touchland is we've created what we call the specialty hair and skin pod. And what this does is this creates an environment for focus and acceleration. And so as you think about it, what we do is we've dedicated all of our consumer and customer-facing resources just to these categories, okay? So think marketing, sales, innovation. What that enables us to do is to mine insights faster and to get better insights quicker. That then results in our ability to deliver relevant and on-trend consumer communications with agility. Additionally, we're significantly cutting our innovation time line to develop new products. So we can deliver on emerging trends and be right there where our consumers are at. Additionally, as we've established this pod, it's enabled us to attract talent from the beauty and personal care space who can come in and complement our Church & Dwight talent. And then finally, I want to just talk a minute about growing share. Obviously, that's key. Whether you're winning or losing, that's the ball game. And we have seen intense competition. And we have seen the rise of value brands. Some of these getting to $1 billion, which is big. So we're maniacally focused on 5 areas that really give us confidence that we can continue to grow share. The first 2 are about driving consumer equity and differentiation. And so media plans that focus on driving awareness and engagement and penetration. And then equity campaigns that are involved to not just talk about the efficacy of our brands, which is very important, but also build that emotional connection. As we like to think our advertising needs to clarify and it needs to inspire. And then, of course, insight-driven innovation. That's just such a lifeblood of our company. And so consumer relevant information and always being a step ahead is a critical area of focus. Using price pack architecture, we are committed to delivering the right item at the right price, at the right channel, at the right time to the right consumer. And so that will play a big role as we move forward. And then finally, an omnichannel mindset, omni in everything that we do, and we'll talk a bit more about this later. But we are going to be with our consumer from discovery all the way to purchase. So when we take the focus on these areas and we look at the incredible brands that we have, when we look at the incredible team and heritage that we have in Church & Dwight, we're really confident in our future and very optimistic. And so with that, I'm going to turn things over to Andrea, who is going to talk about our exciting and newest brand, Touchland.
Andrea Lisbona: Good morning, everyone. My name is Andrea Lisbona, and I'm the Founder and CEO of Touchland. I'm here today to talk a little bit more about the brand. I'm sure some of you already have used our products. They are amazing. Here are some stats about the brand. The brand has been distributing for 5 years hand sanitizer and we recently launched our second category, which is the body and hair mist. Last week, it was published that our Power Mist, which I have here was #2 in sales in Sephora.com. We recently made it to the 2025 Time 100 most influential companies. The brand has a lot of success in social media. So today, we have over 1.2 million followers between TikTok and Instagram. We have been distributing in the U.S. for most of our life and we've recently launched in Canada and Middle East this past year in 2025. We're being distributed in 4,800 doors. And we currently have a premium distribution outlook with partners like Sephora, Sephora Kohl's and Ulta Beauty. And also, we've received over 15-plus awards in the industry. We have today 5 Allure Best of Beauty, just as a fun fact, Allure didn't have Best of Beauty Award for hand sanitizer. They inaugurated for us because of our approach to being in beauty into personal care. Our vision for the brand is to lead the future of on-the-go sensorial essentials and really elevate those staples of modern life. We're building the next global lifestyle brand by blending design, fragrance and innovation. And our goal is to really deliver this movement of micro joys because we are all living in rush and always living under stress and having the capability to disconnect and find micro joys in the every day is our purpose. And one of the things that excites us is that it's a company and it's a brand and a movement that is embraced across generations. We intentionally decided to start our journey with hand sanitizer. And you would ask why? And we thought that if we could transform the most commoditized dilitarian category of the mall into something that everyone is excited about, we would have the customer permission and the strongest validation to elevate the ordinary into the extraordinary. And this is, again, how we've been able to get to where we are today, and it's our innovation framework. We've been extremely disciplined when it comes to our 4 core pillars of innovation. And it helps us know where do we innovate and how do we innovate. These principles ensure us that we create best-in-class products every time that bring excitement and delight to be every day. The first pillar when we think about innovation is it has to be on the go, and it really helps us to define our innovation pipeline. The second element is it's not just about design, it's also about form factor. If you know how the category was used before, it used to be a gel that you would have to squeeze. We truly not just transform how it looks, we transform how it applies. We created this micro spray, micro-joy that really delivers a different application. The third element is that we believe that you can get the best of both worlds, right? We never thought that we could get a hand sanitizer that actually takes care of your skin. We really believe in blending skin care into everything that we do. Our recent category, we launched a body and hair mist. It's usually a fragrance. We decided to bring skin care into fragrances to bring these 2-in-1 experience. And the fourth element, which we spend a lot of time on is sensoriality at the core of everything that we do. From how it feels in your hand, the sound, the smell, the -- how it feels in your skin, we deploy many, many months and years and to make sure that it's a full-on 360 experience when you try our products. And this is a clear example of how we did it, right? We have been the only brand that has been able to premiumize at a scale hand sanitizer category. As you will see here, these are the 4 pillars and how we've transformed them from how it smells, we all know how it smell before Touchland to the design and how sleek and modern it is compared to how it was before. The formula, again, being able to create a skin care forward experience that at the same time is non-sticky, which was very important at the core of sensorially and then the application, right? This micro-mist, micro-joy that you can ensure you can apply the right amount every time. This slide is really showing our current portfolio and how we've been able not only to innovate within the category, but inside the category, how we've been able to expand ourselves. So we started with the Power Mist, which is the one that I have here. It's our core line, it's a hydrating line. And then we decided because we need the customers of Touchland had appetite for premium formulas to launch 2 formulas that are the advanced formulations. We have the Gentle Mist and the Glow Mist. They are revitalizing and ultra soothing formulas. We then launched 2 years ago, these programs of seasonals. They come back every year. They sell out always. They are very successful. This year, we launched this. We had salted caramel, spiced pumpkin-tini and gingerbread -- cinnamon gingerbread, which were really, really talked to by every generation. And then we also brought in something that really enables us to have fun, which is collaborations, and we will talk more in detail later and accessories. In February 2025, we introduced our second category, the body and hair mist. And we really brought the same core pillars of innovation to everything that we do. So we also brought the power essence and the accessories because you may have seen people not only want to have Touchland in their packs, they want to have it outside showing as a charm. So when it comes to collaborations, we really think collaborations bring a playful twist into the every day. We have been able to partner with legacy brands, best-in-class brands like Sanrio with Hello Kitty, Disney Mickey, Crocs case, which launched in July this year. And you may have tried to get it in stores. It's always sold out. It has been an amazing experience to take the DNA of these brands and joining with Touchland create products that bring delight and joy to our consumers. And then the last piece is accessories. You may have seen it with the phones. Like people have cases for the phones and so on. We really wanted to create accessories that really enable people a tool of self-expression. You see a lot of trends in TikTok of matching my Touchland to my outfit, matching my Touchland to my makeup. This has become really successful for us, and it has become a way to really enable that self-expression through the brand. And then, an image speaks more than a thousand words. This is a little bit of some of the faces that have organically talked about the brand in their social media platforms, in interviews for what's in my bag in bulk and so on. And it is incredible to see the span of generations and celebrities and these makers that have supported organically the brand. It always makes me very happy that sometimes it pops randomly. The latest one was Celine Dion, which was an incredible surprise. And these are our current distribution partners. They are brand building partners, Sephora, Kohl's, Ulta. We started at Travel Retail recently, Amazon and TikTok. And then here are some TikToks where you can see, for example, here it's our beautiful Sephora, it's colorful, clean, and minimalistic, and it really shows all of our products in an incredible way. It's across different points in stores, so you cannot miss to get out of Sephora without buying Touchland. This is Crocs, and it is a very exciting partnership because it's not just, again, to create a product together, but you can actually find Touchland in some Crocs stores and Crocs.com, which really enables us to really maximize these partnerships. This was in Times Square. This is me, very excited because we got the time -- the Times Square, the top part of the store of Sephora to display our products for a month. I think that was one of my most iconic moments in Touchland. I couldn't even speak, but that was an incredible day. And then the last is this is in the Middle East. We did Sephora truck activation. It was very fun. I was there, then seeing with our customers. And it really shows like the tagline of the brand is move your moat. It's that capability of a brand of really driving that excitement and moving your moat. When it comes to growth drivers for us, the first growth driver is invest in marketing to increase the brand awareness and household penetration. We all have the feeling that we're just getting started, and there's so much to do still when it comes to brand awareness and household penetration. Second is select distribution opportunities in the U.S. The third is international expansion. We're very happy to be partnering with the Church & Dwight team to really bring the brand everywhere. We've received and you will see a lot of letters from all over the world asking us to bring Touchland to their countries. So we're very excited about it. And then the last piece, innovation and continue to bring unexpected delight everyday moments of care, like we know that our commitment with our customer is to deliver those micro-joys and really fuel that innovation. And I'd like to close my slides with my favorite part of my job. Every week would receive dozens of letters from customers from all over the world, from all ages sharing their experience with Touchland. In digital era where everyone is texting and using their phones, to receive hand-written letters is a testament of how much the brand is loved and how much it's changed people's lives. So this is my favorite part of what I do. And now I'll pass it over to Carlos.
Carlos Linares: Thank you. Good afternoon. Glad to be back with you guys again. Last year, I presented a little bit of how we innovate and talked about the transformation that we've been going on through. Today, I'm going to just recap that a little bit, and then spend most of the time on a very exciting 2026 lineup. Two takeaways of how we innovate differently I would say it's unique and is sustainable. So those are the 2 takeaways -- 2 words to take away from this slide. So this is your new model. It's really 5, 6 different sources of innovation. But what's unique about it is that they're really interdependent, they're connected. The behavior in the company is really about teamwork. They're not competing, which is very different than other places that may have 1 or 2 dominated sorts of innovation. And as you can see from the bottom, as we've transformed this, most of our innovation, more than half of it is coming from some of these new sources that we put in, in the last several years. The sustainable part comes in -- when we put the program together, we were at the 1% to 1.5%. And this again, as Rick mentioned, this incremental net sales. So we had a target of going up to the 1.5% to 2%. So the good news is over the last 3 years, we've been at this yellow bar very, very consistently. 2026 is no exception. We're at the high end to deliver, again, half of the Evergreen model in growth. So I'm going to kind of take you through this. And one of the challenges of doing it within a few minutes is selecting which ones we have, because we have such a pretty strong pipeline for the year. But let me kind of go through that. The first one will start -- we'll start with the personal care portfolio. You've heard a little bit or maybe a lot of the toothpaste launch. We're very excited about this launch. It's very important to us. It ties into Rick's strategy around TheraBreath and oral care and how do you drive that. We had a lot of interest from the customer, from the consumer internally to go do this really, really quickly. And we actually kind of held it back a little bit, we want to get this right. We want to do the Church & Dwight way from an innovation perspective. And what does that mean? So one was we wanted to understand what does this TheraBreath user really want? Chuck mentioned 89% are interested in buying the toothpaste, but we wanted to define what that is. Reality, they want efficacy, they want a natural taste and they want a great experience. We also then put all of our science together. Some of the -- we can do toothpaste. We've been doing toothpaste for a while. But we had some upstream future works as we call it, technologies that we wanted to deploy in this particular toothpaste. So we did that, 8 clinical studies. We actually have 12 hours of fighting bad breath, which is, I think, pretty unique in the category. I've not seen anybody else make that claim before. So it's really performing. And then the consumer experience, the taste, the flavor, the texture, and you see that 4.7 average, which obviously is pretty good. You'll see that number again later on in the presentation. We're hitting a pretty high marks on some of our consumer experience in our NPD. Then let's talk a little bit about Hero, our other more recent acquisition. We have 2 innovative launches in the year. The first half, we're doing Mighty Shield, which is a liquid patch. Chuck talked about the pimples cycle. Obviously, you want to -- you have pimple, you want to zap it, but it's also a little bit of protecting the pimple, right? So if you think about it in the morning, there's dirt, there's debris. You want to protect that because the perception is that may make it worse. So this is a liquid product that turns into a patch. You put it out in the morning, you're protecting the pimples from debris, dirt and even makeup. You can makeup on top. Again, the perception is maybe makeup may make the pimple even worse. So you protect it and it goes on top of it. So at the end of the day, it's become a patch. So you apply it in the morning as a liquid. It becomes the patch, you peel it off just like a patch. Obviously, the exciting part is it's another occasion in the acne journey that we're offering a product for. The second half, we're introducing the cleanser line that was mentioned previously. It's designed specifically for acne-prone skin. So you got the efficacy of OTC formulas, but it's gentle enough for skin that may be irritated. We typically don't present second half products here. We hold them back because of the confidentiality, but we're really excited about this one. As Chuck mentioned, this gets us into another part of the skin care routine for the acne-prone consumer. So you're adding to the routine and adding to the regimen, which is incremental growth for us. And then not to forget about our other personal care brands that are a little bit older in our portfolio on Trojan. So Trojan, we've had a long history of innovation in Trojan, but this is actually our best condom ever. We actually -- it's our new-to-world material. We haven't done this type of innovation in 20 years in Trojan. So we're very excited about what this is. It is a patented non-latex material. Trojan is basically about -- and condoms -- they're about protection and they're about intimacy. This takes the intimacy to the next level. This is clear, orderless. The ratings are incredible. One of the interesting unique things is even feeling your partner's body heat. So we're feeling really, really good about this innovation. I mentioned the 4.7 stars that you see it again. We're very proud of this one. This is a brand-new innovation that I think is going to take Trojan to the next level. So let me kind of jump then to the household part of the portfolio. You've heard a little bit about ARM & HAMMER, the good, better, best strategy. This is our portfolio, but I kind of take you through a couple of launches in each of these segments here. On the good side, we're introducing a baking soda fresh detergent, 10x the baking soda we had before, our highest level of baking soda in any of our liquid detergent portfolio. On the better portfolio or segment, we're actually having a lot of success in sheets. We're the #1 brand in sheets. We're actually twice as big as the next competitor now in sheets. So we've taken that convenient form and now putting it into the better segment with ARM & HAMMER plus OxiClean. So you're going to get the same convenient, very consumer desirable form of sheets with premium cleansing, premium freshness and a premium design. If you look at that sheet, it looks very different, very unique, and I think it's going to take the -- our sheets business even further than it is today. And another better innovation that we're introducing, we're expanding this year is the ARM & HAMMER odor blasters. You're probably aware odor is a big unmet need in laundry. And you're also probably very aware that rinses have become a new category in laundry category. So we introduced this last year in select stores. In the stores that we're in, we're actually #2 brands. There's 3 others that are competitors, we're actually #2. So we're taking this nationally in 2026. Our other main laundry brand is OxiClean. And OxiClean has been a leader in additives for a long time. We want to make sure we maintain that leadership and kind of keep our advantage against both competitive entries and private label. So Max Force is our subline within OxiClean is the most powerful, highest performing line that we have on the brands. So we're actually taking that brand and I would say, almost revamping it. We've got a better powder, more concentrated, more powerful. We've got a new liquid with a new bottle that differentiates it from the rest of the segment. So it's very clear that this is an additive from OxiClean. And as you can see, the product in the Max Force is spread across all of our forms, powder, liquid and sprays. So we think both the ARM & HAMMER and OxiClean is going to give us some good momentum into the laundry category in '26. And then last but not least is litter. Chuck talked about ARM & HAMMER. The HardBall, it's not here, but we feel really, really good about HardBall. It's got a lot of momentum, and that's in our best category. But this year, we're also introducing innovation into our better, which is dual defense. So again, this is another one of those categories that it's all about odor control. So this product gives the odor control in 2 different ways. One is the ARM & HAMMER order control technology that kind of clumps and seals in the odor. But now we're introducing the Microban, which is an antimicrobial technology that prevents the odor growing bacteria from developing orders over time. So you actually have both a dual short-term and a long-term order control performance. So before I hand it over to Surabhi, I think generally, I've gone maybe 9 innovations in less than 9 minutes here, I've gone very quickly. But I'd say, overall, we're very proud of the team, very proud of the innovation. We've got category-leading innovation. We've gone into new segments with this portfolio, and we've upgraded some of the core to give us a competitive advantage. So with that, I hand it over to Surabhi.
Surabhi Pokhriyal: Good afternoon, everyone. Good to see you all again. I'm Surabhi Pokhriyal. I do all things digital, e-commerce, media and a bit of AI now. So as you are familiar and as Rick and Lee introduced, e-commerce has been a fantastic growth driver for us as a company for several years now. I feel really proud to say that we went from 2% to 24% in under a decade. And for those of you who track a lot of other of our CPG peers, I'm sure that pops out as a head, shoulder, torso about all things e-commerce and digital in the consumer goods sector. I also want to reiterate, right, that we are not in the business of telling the consumer where to buy from, right? Our job is just to make sure, like Chuck was saying, we clarify the intent of our product, and we impress them and inspire them to buy. And that's what we do on the online channel. Sometimes it can be misperceived that e-commerce is just Amazon or pure-play channels. We have seen it, and I'm sure you see that as you do retailer earnings. There are retailers like Walmart, Target, Kroger, Sam's Club, name a retailer, everybody is doubling down on the power of digital, and that's what we call omnichannel. We saw above 14% growth for all of our brands, not just the flagship brand of ARM & HAMMER, but also our newer acquisitions like Hero and TheraBreath. International, as Mike will speak shortly, is a huge growth driver and priority for us as a company, especially as we compare to our peers, that's one area we want to double down super intentionally. In international, I always say, right, any market that has a cell phone and Internet penetration, that's right for e-commerce. And as you see by the flags on this chart, markets like Canada and China have always done well with respect to digital, but newer markets like Mexico, which traditionally have been nascent in terms of digital, have done really, really well for us, and that speaks to our double-digit growth there. Finally, in emerging, right? For those of us who cannot keep our cell phone more than a foot away from our hands and the next generation also, TikTok Shop is emerging as a major growth driver in terms of impressing the consumers where they spend a lot of their time. You might have heard of the trend, TikTok made me buy it a couple of years back, where people would get inspired in their discovery journey on TikTok and then go and buy in store. Now the platform is compressing that journey. You can see it, want it, click it, have it right on within the platform. And we are leaning into that in a very meaningful way with several of our brands. Fun fact for you, TikTok Shop is actually bigger in the U.S. in terms of GMV ahead of a couple of large beauty retailers already. So that just tells you how the consumer buying behavior is shifting online. This is our growth mindset, right? This is what I call as the how of what we do things at Church & Dwight, especially in terms of digital. We always engage, right? Like I was saying, we want to be there engaging with the consumer at the zero moment of truth being available, mentally available to the consumer. Then we always optimize in terms of test and learns, right? In the age of AI, we want to dip into how we drive our content and creative and continually test to see what works well. And because we are a lean company, we do not have much headcount. We are very intentional about scaling things really fast and scrapping things that do not work. And finally, that's what I call our secret virtuous cycle of innovation and the gift that keeps giving. These are a couple of examples. We are leaning into AI in a meaningful way. The good news is because there's no dearth of tools to be used there, be it on retailer platforms or from the large media platforms, you can make all things from cute cat videos, which are really thumbstopping to making sure our product lifestyle shots show up really, really well. I call this the age of disposable content, right? As you know from your own behavior, you will never have a day where you said, I finished my Instagram today, right, because the doom scroll just keeps going. What that means is we, as brands have to make sure there is disposable, bite-sized, snacky content that engages the consumer in a meaningful way and inspires them to buy us. And the next leg of that is we want to make sure there is productivity by making sure that content can translate and go across markets, and that's what we are leaning into doing now. Built for AI discovery. Some of you who shop on Walmart and Amazon might be familiar with Sparky as the agent or Rufus. All things said, right, that is one area we are leaning into because we already do a great job on making sure our product detail pages show well. Our content there shows well. The consumer loves us, and we see that in terms of the reviews that Carlos was speaking to. All of that makes sure that our products pop up on Sparky and Rufus. So technically, we have to do nothing special than what we are doing. Just make sure the product content is clean and our reviews are clean and the products show up where they need to show up. In terms of media buying and AI, we also want to make sure that we are adjacent and speak to our consumers who are our high-value consumers and the technology helps us by placing those advertisements to the right consumers at the right daypart and the right times of the day. Finally, I'm sure in the analyst world, you're familiar with the tax of retail media. I'm proud to say that we do not consider that as a tax because we are steadfast in making sure that the retail media we invest in really works its worth, and we get great ROIs out of that, much ahead of industry-leading benchmarks. As Carlos was speaking, we are super intentional about how we do our innovation. Online and digital, in particular, has been a great platform for us to launch products, create category creators/category disruptors. And once we have made it right on online, gather the feedback from the consumer, tweak the product as needed, that's when we call and we go make it big. Based on the products that you see on the screen, we launched laundry sheets online first and gained great momentum in a handful of months. We launched the premium baking soda that became #1 in just 3 months. And very recently, we launched the much loved TheraBreath toothpaste that's already topping all our category benchmarks expected from our any earlier toothpaste launches. In terms of capabilities, I already spoke about the social content, and this doesn't have audio, but you'll get a sense of how the bite-sized snacky content works in the social realm. And you'll notice something at the bottom called as the engagement rate, right? Brands typically have different variety of metrics in the marketing world because everything is measurable these days, which is fantastic. But engagement is what tells you how are the consumers talking back to you. They're not just following you, they're engaging with you, liking you, commenting you, resharing your post, and that's the metric we use. And some of our power brands do really, really well. The typical engagement rates are 2%. We do double-digit engagement rates for some of our larger brands. On the right, you'll see something interesting. We have a lot of experience in making sure we follow consumer search trends. What are they searching on Google and Amazon and other online sites. Recently, we are trying to lean into what is the consumer speaking about us and the category on Reddit, which is a great source for following organic chatter, which is unpaid. Similarly, because these things give us the leading surfacing of emotions and their intent, and that helps us define not just how to talk to them in a marketing world, but also tells us how to innovate and build products that they are searching for. On the right, you'll notice with the help of AI, we are leaning in to find where are the emerging brands across the world. Given in M&A, we are building tools internally to figure out what could be acquisition targets that are right for us globally and not just in the U.S. And sometimes it may not be an acquisition, it may be a brand doing really well in a category or an adjacent category, and we learn from that to innovate differently. With that, I feel really proud to say we are at the cusp of saying we are future-proofing our growth, digital or non-digital. I call it the era of we are just in the business of doing commerce. The E in e-commerce has become silent. And we are super proud to say we are always in the race of going towards where the puck is going to be and where it is not. On that Canadian reference, I'll pass it on to my international partner, Mike Read.
Michael Read: Good afternoon. I have the privilege of representing our international and Specialty Products employees all over the globe. Let me just start with international. So international is about $1.1 billion size business. We kind of operate in 2 different ways. 2/3 of our business is through our subsidiary. We have 7 subsidiaries now, Canada, U.K., France, Germany, Mexico and Australia. And middle of the way through 2024, we acquired our long-standing partner, Graphico in Japan to form our seventh subsidiary. The other 1/3 of our business is done through value distributor partners all across the globe. We have 5 regional offices to support that, Shanghai, Singapore, Panama, London and Mumbai. And we operate through almost 400 distributor partners and have commercial operations in about 100-plus countries. We've had a long track record of growth in organic. This year, no exception, 5.5% organic growth. If you look over the last 3 years, we're averaging 8% CAGR, which is right on our Evergreen model. So really proud of the team's efforts and a long track record of growth with lots of opportunity ahead of us. We have -- our brands travel extremely well. We support dozens of brands across the globe. But similar to our U.S. domestic business, we're laser-focused on our core set of brands. And this is kind of how we think about our business and our core priorities. One is we have kind of U.S. scale brands, ARM & HAMMER, Waterpik, OxiClean, where we leverage assets and NPD pipelines to commercialize across the globe. We will modify as it makes sense. But generally, we're borrowing off U.S. scale brands and taking them globally. That's complemented with a fairly internationally based portfolio that's largely personal care and OTC, headlined by BATISTE, Sterimar, Femfresh and others. And then thirdly, and probably most importantly, kind of more in recent times is we've really started to accelerate our acquisitions. So we've had a long history of taking brands internationally. I think Hero, TheraBreath and now Touchland give us such a great opportunity to scale and enter markets with real purpose, and I'll give you a couple of headlines on that in a second. As I say, our brands travel extremely well. I'm proud to say 6 of our 7 track power brands have grown share in 2025. It's a really strong result. We don't track market share across all our brands. So in addition to that, our ARM & HAMMER business has grown almost 6% and Femfresh also grew positively in 2025. So really strong results across the portfolio and market share growth across the board. Just to double-click on some of our acquisitions. We launched Hero a couple of years ago. We're now in more than 75 countries. We'll be on our way to over 100 by the end of 2026. We have the #1 share position in acne patches across all our track subsidiaries. And very similar to the U.S., we have -- we're #1 in acne in a couple of those with still lots of room to grow. Similarly, on TheraBreath, we're now in over 50 countries. It's the fastest-growing mouthwash and retail in Canada, Mexico, U.K. and Australia. We have a #1 online position in several countries that we launched in. So we're really proud of these 2 acquisitions. And the next in line is Touchland. So you heard from Andrea, really strong results, obviously, in the U.S. We've launched in Canada and the Middle East. There's a ton of pent-up demand for this brand all around the world. So we're really excited about how we take the learnings from Hero and TheraBreath and apply it to the Touchland playbook. So this will be our third big one in a short period of time that we're pretty excited about. One of the things that we're really focused on as we continue to mature as a global business is just to get much, much deeper into our local consumer insights and region-led innovation where appropriate. We try to borrow assets and leverage them across the world, but where appropriate, we do make nuances and changes. Here's a couple of examples. Just recently launched a harmonized line of BATISTE into China and Japan. Again, using some of the properties and core equities of BATISTE, but softer fragrances, smaller sizes, less intense spray, less white residue, things that are fit for purpose for the consumer and to compete more effectively in that market. Another example is we've had a long-standing business of powders and OxiClean, our Japanese market where we're the #1 position in powders, the largest segment is liquid. So we've done some regional innovation and launched a strong liquid lineup that we launched last year, and it's performing extremely well. So again, where it makes sense, we will kind of make local adaptations and innovation. Just to keep going on the Japan theme. We bought that business in Q3 of 2024, talked a little bit about our #1 position in powders and OxiClean and moving it into liquid. That was the primary brand that we had in Japan. I think most notably is now that gives us a platform to introduce the rest of our portfolio. So we've already launched BATISTE and The Breath Co, Hero is soon to come and others to follow. So we've got a strong team there. We're starting to make more progress on the OxiClean brand and also widen the portfolio. And as Rick said, just to close on international is while we've had a really strong track record of taking U.S. brands and mobilizing them across the globe, we're also looking at international M&A to add to that. So that's either scaling up in current subs and/or entering into new geographies of interest. So with that, I'll switch to Specialty Products. Specialty Products is about a $300 million business. The lion's share is in our Animal Nutrition, which is a long-standing part of the business. About 1/3 is in our -- what we call specialty chemicals and the remainder in our commercial and professional products. From an Animal nutrition point of view, we've been traditionally prebiotics, probiotics, nutritional supplements for the dairy cow segment. We've expanded into poultry and also into swine. I think when we've talked about the kind of the business growth, we focused on a few areas. Number one is taking what has been largely a U.S.-centric proposition to growing it globally. We're now at 30% sales internationally. We've built a team and have been really focused on driving innovation in the space. We've had some really strong innovations, particularly in the poultry sector that's now starting to drive some major growth there. And we're investing in tools to make sure that we're interfacing with our customers and just selling better and improving our service. This is one example of the CRM that we've applied here and then also the other parts of the division. The other 2 performance products. So we're taking solutions into the bakery, water treatment, kidney dialysis, a whole section of different opportunities there. And then the last and the smallest segment is taking our consumer brands into things like hospitality, foodservice and JanSan. So those 3 segments together make up about $300 million worth of growth. 2025, we had another positive year of growth, 2.6% organic growth off the back of 7.1%. We've had 8 consecutive quarters of positive growth. But most importantly, I think we're really set up well for growth to the future. We've got a strong team and a really core portfolio that's working well in the marketplace. And with that, I will pass over to Rick Dierker for closing comments.
Richard Dierker: All right. So we'll wrap up with how we operate, and then we'll go through Q&A. We have 5 operating principles: leverage brands, friend of the environment, leverage people, leverage assets and leverage acquisitions. So leverage brands, you heard Mike just talk about it. You heard Chuck talk about it. You heard Carlos talk about innovation. You heard Surabhi talk about how we do digital. So all those things come together, and we do a great job with our brands. Friend of the environment. We have a long track record of being a friend of the environment from the 1800s all the way through present day. And it's not just us saying it, it's many other third-party agencies recognizing that effort. Leveraging people. Highest sales per employee in the industry. And I think this is missed so many times by so many people when people evaluate the company. This isn't about the stat. It's not about trying to make that number go up. It's all about having the agility, speed of decision-making, being able to be nimble in a complex world. And so because of that, we believe that's one of our competitive advantages versus the industry. We have a simple compensation structure as well, 5 metrics for 20%. Everybody is tied into that, but gross margin is 20% of everyone's bonus. It's easy to say, but hard to do, but we believe it adds growth and margin expansion are 2 very important metrics. They lead to cash flow generation, just like Lee presented, right? That's how you get free cash flow conversion. That's how you get optionality to go buy businesses and do that virtuous cycle in the model again and again and again. Leverage assets. We're not a capital-intensive company. Again, it ties back to free cash flow conversion. That's due to our footprint, right? We have third-party manufacturing in many ways. We have distributors that are our partners internationally. And then we leverage acquisitions. We make good shareholder returns, great shareholder returns because time after time, we can have a great core business and then add on acquisitions. So to close, we have confidence in our future. You heard it from the management team. There's a lot of things going right. There are more tailwinds and headwinds even in an environment like we're sitting in today. We have portfolio changes. We have growth initiatives that support a healthy evergreen model. We expand household penetration, especially for businesses that we've recently bought. We have a great high and sustainable growth rate for international. We have great innovation, consistent and really industry-leading. Digitally savvy, and then we focus on domestic and international M&A. And with that, I'll invite the ELT, our executive leadership team to come up, and we'll answer a few questions.
Richard Dierker: And Jill has the microphones. Why don't we go with Nik Modi. Why don't we go with Nik? Nik Modi.
Nik Modi: Great. I really don't this thing. But -- so just 2 questions, Rick, on the ARM & HAMMER kind of from $2 billion to $3 billion. Much of that is international, and it's not, why not, given the value positioning and the credibility, the credentials that the brand has? And then just the second question was you had this initiative of smaller teams kind of working on a subset of brands, I think that you were going to focus on. I didn't hear about that today. So I was just curious what's going on with that, if you could just give us an update.
Richard Dierker: Yes. So 2 questions, and then I'll let Mike kind of add on to the ARM & HAMMER. So the bulk of the ARM & HAMMER growth is domestic. But ARM & HAMMER is a great brand alive and well globally. I think it's just -- it's a longer curve as you grow a brand globally because you go to Europe and baking soda and ARM & HAMMER's not really recognized as much. We tried to plant the seed in China to some degree for fruit washing and other clean and cleansing and freshness attributes. But I'd say the bulk of it is in the U.S., although there is a great -- it's a sizable business internationally, and we expect growth there as well. And nothing but the initiatives we do in the U.S. is going to help with international.
Unknown Executive: Just to add, it's actually a single largest brand for international. So it's just broken up into a few different pieces. But we have a strong litter business in China as an example, we've baking soda that's growing quite rapidly across the globe. And we do think that while laundry probably doesn't play as much of a role globally, most of the other segments will. So we're pretty excited about what ARM & HAMMER can do and it's absolutely part of the growth story.
Richard Dierker: Yes. Litter in particular, this might surprise you, but the litter business internationally is larger than you would think and definitely in China as well, right? And so we're looking at how do we make that business even a faster growth business. The second question you had is really on a group that we call TAG internally. It just -- it's not ready for -- we've created it. It's called the Accelerator Group. It reports up through, Surabhi. And there's a couple of brands that we believe have every right and obligation to be hundreds of millions of dollars. And we're going to just manage those differently, let it be a little bit of an incubator in itself. And we'll probably report back once we see progress. In my mind, they're going to come into the incubator. We're going to -- some will do better, some will accelerate, some won't. And then they'll graduate back into the company and be managed more of as a traditional brand. But this is our chance to really take a flyer in a few key brands. Surabhi, do you want to add anything to that?
Surabhi Pokhriyal: No, I think you got it.
Richard Dierker: Okay. Javier?
Javier Escalante Manzo: A quick one for me on Vitamins.
Richard Dierker: Javier, we sold the Vitamins business.
Javier Escalante Manzo: I know.
Richard Dierker: I'm just kidding. Go ahead.
Javier Escalante Manzo: I know. But a lot of it has been done in terms of what it means to growth. I wanted to see whether you can speak of what it meant for the cost side. It was up against Nestle in the drug stores, all the effort that you made to stabilize. So what does it mean to leave that behind and refocus those resources against all the innovation that you have?
Richard Dierker: Yes. I think it's one of the single biggest -- we're going to look back in a few years, and I think one of the biggest strategic pivot points in our company history is when we acknowledge that we couldn't turn the Vitamin business around. And the amount of mind share that management had on Vitamins, which I talked about private label exposure. I mean, think about that. I mean, going from 12% to 5%, that is a private label heavy industry. And brands are having a very tough time in that industry. Competitive advantages that we thought were sustainable were not. So there's nothing but tailwinds from a growth perspective for the company now, margin. We were overinvesting in marketing. But more than anything, it was the amount of time, effort and energy that we had to divert to doing all the right things. We were. We did all the right marketing. We did all the right consumer research, all the innovation. But every minute we spent on Vitamins was a minute we weren't spending on ARM & HAMMER growing from $2 billion to $3 billion and for the rest of our business to grow. So I think that's going to serve us very well when we look back. Rupesh?
Rupesh Parikh: So 2 questions on Touchland. So first, on the international expansion, so far in Canada and Middle East, how is that going? And then as you think of Touchland, like how do you think about the phasing of international expansion? And do you think you can get it to 100-plus countries somewhere here over time?
Richard Dierker: Yes. I'll make a couple of comments and then either Brian or Andrea and then Mike can make a comment. We're really happy with the Touchland business. We talked about just a double-digit grower. But more than anything, you saw from Andrea today, it's not just a hand sanitizer business. Over the long term, it's a brand, and she's built a great brand. International has done well. I would say it's hitting or beating all of our expectations. We believe there's a path forward. Mike and our regulatory team with Carlos is working hard on getting to 20, 30, 40 countries just so that we have the optionality to go when it makes sense. The unique piece with Touchland is we're going to be more picky on what partners we go with, right? We're being very purposeful on what channels we participate in the U.S. We'll be very purposeful outside the U.S. as well. Brian or Andrea, anything you want to add?
Brian Buchert: No, that was pretty good. Yes, we're trying to launch as fast as we can. It's alcohol-based. So there's some regulatory challenges to get it out in some markets in the world. But we're full steam ahead. We're going to have a handful of markets here this year. We started with Sephora in Canada and in the Middle East. That was part of the reason why we ended up in those 2 markets. And when you asked the question about being 100 over a longer period of time, potentially. But like Rick said, we're going to be purposeful which retailers and who we partner with in each of these countries.
Richard Dierker: Peter?
Peter Grom: Just a couple of questions on the guidance. So maybe first, the 3% to 4% organic sales growth. Can you maybe outline what you're expecting in terms of U.S. international SPD? And then you're -- in a couple of weeks here, you're going to start to lap this inventory destocking component. That was a big drag on sales last year. I think it was 300 basis points in the first quarter. So can you maybe just help us understand what's embedded in the guidance as you lap that this year?
Richard Dierker: Yes. Sure. Lee, do you want to take that?
Lee McChesney: Yes, sure. So just within the outlook, 3% to 4%, you have the U.S. business is 3% growth for the year. International is 8% and then SPD is 5%. And yes, as you talked about in the first quarter, we definitely had inventory destocking last year. This year, just simply, we have the Oxi loss at Costco. That's really a headwind we have in the first quarter. But as I said a little bit earlier, our outlook for all those businesses are relatively consistent throughout the year for growth. We just got to get through that last piece of that comp.
Richard Dierker: Bonnie?
Bonnie Herzog: I have a question on promotions. They've really been elevated in a lot of the HPC categories, and we're seeing a fair amount of negativity on price mix. So love to hear sort of your thoughts on the environment right now. And essentially, what is factored into your guidance? Where do you expect this promotional environment to land this year? And if you do expect it to remain elevated, how should we think about that in the context of your price mix?
Richard Dierker: Yes. No, good question. I think what you're seeing is when consumers are pressed and categories start to decline on volume, then competitors price promote to gain share. But the value of the brand matters in a big way. Like in Q4, ARM & HAMMER laundry was the only one who grew share. And we're not outspending the category at all. The value segment is the only segment that's gaining share. So the macro is helping the ARM & HAMMER brand more so than most, I would say. That's true in cat litter, too. Cat litter competition is spending an awful lot on promotion. We're not. We're well below the industry average, and we're gaining share. So brands matter. You just can't promote yourself your way to growth. And so all the advertising that we're doing, the innovation, remember, it's a combination of value that you're giving to the consumer. So we've been very, very happy with that. I do think that promotional levels will drift back to normalcy. Like we're probably -- the category is under long-term historical levels for promotion, but we're well positioned. We're doing well. Mark, any other comments you'd like to make?
Mark Magazine: Yes. I totally agree. I think one of the things we do is to build a great promotional plan with retailers, but we do watch it every week, right? And we continue to monitor how we're doing. To Rick's point on laundry, we feel really good. And we'll continue to do that. And if the category heats up, we'll make the right moves.
Richard Dierker: Ana?
Ana Garcia: Yes. I wanted to ask on your longer-term gross margin potential. You've historically said that your mix of business is around 40% value, 60% premium. And then with the last 2 acquisitions and the growth premium kind of ticking up here, we are seeing value now around 36%. So I wanted to ask if that's a driver of longer-term gross margin expansion -- sorry, behind, I guess, the premium side of the business. And if that should tick up slightly over time or revert back to that 40%, 60% split between value and premium?
Richard Dierker: Yes. It's a great observation and question. I would say our acquisitions recently have been higher-margin personal care businesses, and that bodes well for that. Give us a year or 2 before think about changing the Evergreen model. We just got out of tariff control, and we have another year of 3% inflation. But I would say the problem with long-term gross margin guide is the world changes rapidly. But a lot of confidence in our gross margin expansion. I think to put up 100 basis points in this year amidst everything that we're going through is phenomenal. I think having flat gross margins in 2025 when we were faced initially with $190 million of tariffs is jaw dropping. Lee, anything you want to add?
Lee McChesney: I think to Rick's point, it's -- things evolve. That outlook, obviously contemplates what we know now but we don't know what's going to come this year, just like what happened in '25.
Richard Dierker: Chris?
Christopher Carey: So just on Touchland, One of the things I hear about a lot is the risk of over distributing the brand, going to channels like mass, where you lose the cache of the brand. I think there was some activity at Costco in calendar Q4, where there was a debate about whether you're kind of blowing out distribution, and yet I hear there's a ton of growth runway. Can you just talk about -- maybe, I don't know if careful is the right word, but how do you think about keeping that brand exclusivity and -- but also having the ability to deliver really strong growth rates, if that makes sense, like staying in the channels that you need to be in, but still delivering strong growth? And if I just could, going to the back half of this year, Lee, I think you said the growth rates should be fairly similar through the year, but Touchland is going to enter the base into the back half and presumably, it's still growing quite quickly? Is that a phasing thing? Is there some conservatism in that? But any context on maybe how Touchland could be entering into the next 12 to 18 months?
Richard Dierker: Yes. I think -- I mean, we were pretty public a quarter or 2 ago, even when we announced Touchland that we were going to be very careful and selective on what channels we go to because exactly the point you're making, there's a cache of the brand, and we have great partners. Sephora and Ulta have been great partners and Andrea has developed and nurtured that relationship. So we've said there is no plan in the near term to go into mass as an example. Club, we believe, is a different channel. It's a more premium channel. It's too early to tell now what we're going to do. I don't want to front run that. But I would say it's a little bit more unique than the traditional mass channel. Andrea or Brian, anything you want to add?
Brian Buchert: Sure. We did do a quick test at holiday test in Costco. It went very well. That was purposeful to do it as a test to see how it did there. And so we're evaluating channels all the time. We're evaluating the existing channels. The important thing here that is a little different is that Touchland was not a Sephora-born brand as a lot are. It was born in Ulta and Target and Amazon and Sephora pulled us in, okay? So it's not just -- so we have more degrees of flexibility in terms of some of those channels, but they're a great partner. They're doing everything that we've asked of them, and we monitor it each quarter, 6 months, a year. And the day the support doesn't meet our expectations that we want Touchland to be in everyone's hands in the world.
Richard Dierker: Yes. I think the other nuances when we did that club test, remember at stores at Ulta or Sephora, they're selling 100-plus units per store per week. It's very, very high-velocity units. We didn't see that drop off at all even when we were doing the club test. So that was encouraging. There was another question on the back half growth, Lee.
Lee McChesney: Yes. I mean again, the range is 3% to 4%. So there's obviously some degree of freedom. You're right, Touchland does turn into a positive organic in the back half. The offset that you also have the TheraBreath and the Hero is growing at the rates they were growing this year. Obviously, they're going to keep growing, but I just think there's a balance to that outlook right now.
Richard Dierker: Rob?
Robert Moskow: Lee, I hate to keep asking about the guidance for organic growth. But did I get it right that the exit rate for the business, excluding Vitamins, is 1.8%. And therefore, does that assume that the business has to get better like right away? Most companies, you take the exit rate and that's the growth for next year, but this is a little bit different. And then I had a follow-up on ARM & HAMMER. I did the 25-year CAGR math, and I think the math is like 2.8% growth rate for ARM & HAMMER. But you think you can do better than that going forward. Is it going to do better than that this year? Like or is this year kind of like a similar pace of growth for ARM & HAMMER?
Richard Dierker: Yes. So I'll take the second one first. My belief is ARM & HAMMER growth will be accelerating in 2026, '27, '28 and '29. Like I think the plans are being -- are in place for 2026. Plans are being laid for '27, '28, '29. And so I do think ARM & HAMMER accelerates from where it's at today. Your other comment on -- your first question was really on growth, right? And I think you got to be careful taking just Q4 and rolling it forward because you got to remember how high 2024 Q4 growth was. But I think the overarching comment would be we believe categories are going to grow 2%. We believe that ex the portfolio changes, we would have been growing 3.5% in 2025. We tend to take share over time. And so when you kind of add those 2, 3 things together, the absence of headwinds like not just Vitamins, not just Flawless as we wound down those businesses. But we did get delisted from Costco last year for OxiClean, that was a big headwind. We didn't make a big stink about it, but we overcame all that. And so when you layer all that in, that's why we have a lot of confidence in 3% to 4% next year. Andrea, then Steve.
Andrea Teixeira: Andrea Teixeira, JPMorgan. So I wanted to still stay on the Touchland. The U.K., I was curious, usually brands go and fly to the U.K. and especially because you have BATISTE there, why the U.K. expansion didn't happen yet, I think, if I'm not mistaken, Canada and the Middle East is where you already have the brand. And then in terms of line extension, should we see line extensions within Touchland this year? Or this is something more long term?
Richard Dierker: Yes. We're not going to comment anything on line extensions yet. I would just say that our plans would say that we believe the brand can be bigger than just hand sanitizers. You saw Andrea's slide, and it was about convenience. It was about the sensorial experience. It was about convenience. All those things come together, and there are other categories that, that could apply to. As to the U.K., remember, this is a team of -- for a long time of 12 or 13 people, okay, managing a business that now is almost $200 million. So I know for like -- for the company, for our company, we would be like, yes, we're going to go to U.K. on Thursday, and we're going to go to Portugal on Friday. For them, they were just trying to keep their head above water, and they're doing a great job. And so we're adding a lot of resources on regulatory, right, to lay the groundwork to do the next 20, next 30 countries. Regulatory is usually the answer with this product on where you can go and how fast you can go.
Stephen Robert Powers: Okay. So 2 questions for me. The first one on the ARM & HAMMER aspect, $2 billion to $3 billion. Are you just calling that out to kind of quantify it, make it a priority or -- and be more intentional about it? Or I guess, to what extent are you doing something different going forward versus how you've been managing that brand, the center of your portfolio for a while? And then the second question is on just TheraBreath and moving that into paste. Maybe size the prize as you think about the incremental growth of the overall franchise, how much is oral rinse versus how much is paste? And just how you're thinking about bringing that to market? Are those going to be marketed and promoted separately, together, you're going to bundle the product? Is the -- are they individual initiatives? Or are they -- are you marketing paste to the rinse consumer? Or is it independent, I guess, is the question?
Richard Dierker: So I'm going to -- on your first one, it was really about what are we doing different on ARM & HAMMER. And I would say that slide had 4 pillars. The first pillar is what we're doing today. And what we're doing today is doing a great job on innovation, on marketing, on promotional, on pricing, on sizing, all those things, and that's what's been driving our share on laundry and litter for many, many years. I expect that to continue. That's a core competency of the company. The good, better, best, we've done that really well in laundry and litter. I'm saying to you today that there's a few subsegments that we haven't been doing that. We haven't had the focus there. We're going to put a little bit more focus there. And so I think that's an incremental opportunity. The third one was incremental categories. That's incremental. Like where does ARM & HAMMER have the right to play and win, and we want to make sure we're very picky about that. But you're going to start seeing that over the next couple of years, I would say. I don't want to front-run any comments on where we would go or whatnot. And then the fourth one was, again, there are certain brands that we license today that when they get to critical mass, we should take them back and we can scale a lot faster. So that's really like an incubator or a test ground for us. There's also probably categories that we may want to get into, and that's a great test environment to do so. So those are what's new about it. I would say the numbers, $2 billion to $3 billion, I want to make meaningful progress over the next 4 years is what I would tell you. Chuck, do you want to take the TheraBreath discussion on how we're marketing it together?
Charles Raup: Yes. We see tremendous upside. And so it's a balance of -- there's room to run in rinse, as I showed before, and penetration in paste. So there will be some individual efforts. But as we look at this, what we're really thinking about this is penetration of the consumers' oral care regimen. So where we can, certainly between online promotions, those type of things, looking to pull it together. And in our early results, what we are seeing is we are having a high conversion rate of rinse users going over to the paste. So it is going across that -- the oral care needs.
Richard Dierker: Olivia?
Olivia Tong Cheang: So value is obviously still a very big driver. So can you talk about your confidence in ability to capitalize on that value-seeking consumer while also thinking about the impact on margins? That's number one. And then your full year organic sales growth targets clearly are ahead of a lot of your peers, but you have the highest exposure to right now, the lowest growth market. So as you think about the opportunity in front of you to capitalize on international markets, how can -- what's the pace to be able to do that to kind of offset -- to capitalize on some of that international opportunity while also being mindful of the fact that the U.S. consumer is pretty challenged.
Richard Dierker: Yes. I'll take the second one first. So I would just say, you're right, the U.S. market is a slower growing market these days than many of the international markets. We're doing really well internationally. We're growing, but not all the international markets are fantastic. We're growing above market rates internationally as well. Even though categories for us only grew 1.8% last year, like I said before, ex our portfolio changes, our brand consumption was 3.5%. So in a tough environment, our brands and consumers bought those brands, and that's pretty strong growth. So that gives me a lot of confidence. Your first question was -- remind me, Olivia, I lost it. Margin and value. Well, it's kind of my answer to what I said to Bonnie. Despite the promotional environment, the brand matters, right? And what's unique about ARM & HAMMER? We talked about it a little bit, but we have a halo effect for advertising. So even though we're a value detergent, we're advertising everywhere. And most competitors in value and anywhere else can't advertise at the same rate we can, but it just doesn't work. So that's number one. Number two is we kind of gloss over it quickly, but Carlos Ruiz and his supply chain team and Carlos Linares, who supports it with R&D, our productivity numbers are just astronomical. And we have a muscle there. Carlos Linares walked you through our innovation muscle on NPD and had 5 different vectors. And that's why we, over time, can innovate and do 2% of sales or half of our organic growth rate. We have that same -- and maybe we should tell that story next year. We have that same story on productivity to be able to have productivity year after year after year, guess where most of that productivity comes from? High moving throughput on widgets, which is fabric care and home care. It helps everywhere, but it really over-indexes on households. So that helps offset any inflation we have or pressure we have on gross margin typically.
Filippo Falorni: Filippo Falorni, Citi. I wanted to ask on the laundry category. Rick, you showed us the chart that shows the value part of laundry outperforming the premium. Like it's been going on for a couple of quarters. What is your expectations heading into 2026. And as you think about innovation, you made a bet on the laundry sheet as an alternative way of laundry. One of your competitors coming in with a different format. How are you thinking the competitive dynamic will evolve in '26 on that part of the category?
Richard Dierker: Yes. So yes, you're right. Proctor's coming out with Tide EVO. That does nothing but bring more awareness to a different form in the laundry category, fantastic. We are going to be a value to Tide EVO in a big way. Our efficacy actually is really good, especially with the better sheet that Carlos just went through. So we're the #1 brand right now in that smaller subsegment, which is probably around $100 million plus if you include kind of off-channel sales. So I feel really good, continued about that. It's still a small part of the category, okay? So just to give perspective out there. And then what was your first question? How long do we think the value piece? Look, I think there's a -- that's more of a macro -- more than anything, it's more of a macro environment question. And I think the consumer continues to get pressed. Consumer confidence continues to be shaky. And yes, the club class of trade and the high-end consumers feel good because of the stock market. But the everyday consumer, the share of wallet going to purchases is still high. You might not have the same year-over-year inflation, but that share of wallet is still impactful. And so I believe that they're going to continue to make choices on value period the end. And so I would expect that to continue is what I would say.
Unknown Analyst: Yes. So gross margins performed quite well in 2025 and in the year stronger than you had anticipated and have a strong guide for 2026. But we didn't get the gross margin bridge like we normally get. So I'm wondering if we can hear what the drivers were of that, but also maybe how gross margins are performing when you exclude Touchland kind of in the base business. And then second, I saw quite a few mentions of an ERP transition. I think a lot of people tend to get nervous around ERP transitions. I'm wondering if there's maybe a sell-in that we need to be contemplating as we work through the model.
Richard Dierker: Yes. So I'll let Lee walk you through the gross margin bridge. We wouldn't go through details on margin, excluding Touchland, but he'll give you some color on that. And then maybe Ray can give you some color on our SAP go-live. I would tell you that we are not -- I know a competitor had a massive sell-in, we are not contemplating something like that.
Lee McChesney: Yes. So for '25, just give you a perspective, again, kept margin flat. The commodity pressures, things like that, plus the tariffs are actually close to 200 basis points of pressure. The productivity offset a large portion of that. And then you have the benefit of the mix of the acquisitions kind of closing that gap to keeping it flat year-over-year. As you said, for '26 here, we kind of have the normal -- all those elements coming to be in that kind of 25 to 50 basis points. And then it's really the portfolio change that drives the rest up to 100 basis points.
Richard Dierker: Yes. And then we have gone -- Kevin Gokey is here too, our CIO, and Ray is our new CTAO. And we've gone through SAP go-live. My first job at the company was the Director of Operations Finance, and I was on the project of going live with the SAP reinstalled. And we have a great supply chain and finance team and IT team that are just full-time dedicated to that project. We have a lot of confidence in it. But I'll let Ray talk about his thoughts.
Ray Bajaj: So the larger strategy out here is we are digitizing our core so that we can do faster M&A and we can grow organically. Our S4 transformation is on track, we have a great team and we are getting up for go-live in our SAP transformation. And you will see, like our business processes improve as we build this robust platform, and it's going to be the engine of growth in the future.
Richard Dierker: Yes. The only other comment I would add on that is, a lot of times when you see ERP transitions that really, really struggle is they're going from something -- nothing to something. We are doing our upgrade. We've been an SAP shop for a long, long time. Not to say there's not risk, but we have a lot of confidence in it. Okay. Well, again, I just want to thank everyone for coming out on the cold, blistery day in New York City. As you can tell, the management team has a lot of confidence. I have a lot of confidence. The company's portfolio has never been stronger as we look forward, and we're looking forward to executing well in 2026. So thank you.